Operator: Good morning and thank you for standing by. Welcome to Birkenstock's Third Quarter Fiscal 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. The company allocated 60 minutes in total to this conference call. I would like to remind everyone that this conference call is being recorded. I will now turn the call over to Megan Kulick, Director of Investor Relations.
Megan Kulick: Hello and thank you everyone for joining us today. On the call are Oliver Reichert, Director of Birkenstock Holding plc and Chief Executive Officer of the Birkenstock Group; and Erik Massmann, Chief Financial Officer of the Birkenstock Group; Klaus Baumann, Chief Sales Officer; David Kahan, President of the Americas; Tiffany Wu, Managing Director of Greater China; Alexander Hoff, Vice President of Global Finance will join us for the Q&A. Please keep in mind that our fiscal year ends on September 30th. Thus, our third quarter of fiscal 2024 ended on June 30th, 2024. You may find the press release and supplemental presentation connected to today's discussion on our Investor Relations website birkenstock-holding.com. We would like to remind you that some of the information provided during this call is forward-looking and accordingly is subject to the Safe Harbor provisions of the Federal Securities Laws. These statements are subject to various risks, uncertainties and assumptions, which could cause our actual results to differ materially from these statements. These risks, uncertainties, and assumptions are detailed in this morning's press release as well as in our filings with the SEC, which can be found on our website at birkenstock-holding.com. We undertake no obligation to revise or update any forward-looking statements or information except as required by law. During the call, all revenue growth rates will be cited on a constant currency basis unless otherwise stated. We will also refer to certain non-IFRS financial information. We use non-IFRS measures as we believe they represent operational performance and underlying results of our business more accurately. The presentation of this non-IFRS financial information is not intended to be considered by itself or as a substitute for the financial information prepared and presented in accordance with IFRS. Reconciliations of IFRS to non-IFRS measures can be found in this morning's press release and in our SEC filings. With that I'll turn the call over to Oliver.
Oliver Reichert: Good morning, everybody, and thank you for joining today's call. It was great seeing many of you in June during our most recent roadshow. We thank you for your love for the brand and kind support. We are happy to be here today to discuss another exceptional record setting quarter for our company. We achieved the highest quarterly revenue in our history. This was driven by the unbreakable and growing demand for our products across all segments, channels and categories. As promised during our IPO and secondary offering, we're delivering mid-to-high teens revenue growth, gross margin of 60% and adjusted EBITDA margins of 30% plus. As promised, expanding into the white space opportunities, we identified closed-toe silhouettes, orthopedics, professional, outdoor, the important APMA region, and owned retail. Now let's have a look at the third quarter. Birkenstock achieved 19% revenue growth in constant currency. As a super brand, we are taking share at and gaining the attention of our key retail partners and their consumers. Consumers are becoming increasingly selective and more intentional in their spending and looking for more physical touch points with the product. They are seeking brand they love and Birkenstock is one of these global super brands. Our 19% revenue growth in the quarter was driven by 23% growth in our B2B business and 14% growth in our D2C business, well outpacing our peers. Birkenstock is a product that needs to be seen and touched and we benefited from this shift towards more in-person shopping. This movement is validated through increasing sell-through rates and reorders at our key retail partners. Accordingly, our B2B business was a bigger part of our third quarter than it has ever been. We continue to see growth in revenue from our key wholesale accounts with over 90% of our B2B growth coming from within existing doors. Our partners increased order size, and added new categories and did a great job presenting our brand to the new consumers. Younger consumers prefer to shop in-store, a trend we are seeing more and more. 12,400 wholesale doors are an important brand touchpoint for our consumers. With a limited but steadily growing fleet of 64 owned retail stores worldwide, we rely on our B2B business for its reach, predictability and margin strength. Simply, the B2B business of a super brand like Birkenstock decreases risk with a very, very healthy margin. While ASP was up year-over-year, volume was a bigger contributor to revenue growth this quarter, given the strong B2B growth and the additional capacity provided by our factory expansion. As promised, we will never compromise our engineered distribution model and are maintaining our disciplined approach to relative market scarcity to keep supply comfortably under demand. As mentioned, retail remains an important white space opportunity for us. We continue to selectively add to our footprint globally, adding seven new stores in the third quarter, bringing the total to 64. Our digital business continues to perform well with double-digit growth in the quarter. We continue to add to our fast growing membership program, which grew 36% year-over-year to 6.9 million members. These members are highly engaged, spending more frequently and spending over 25% more per transaction than non-members. We saw a continued shift towards closed-toe silhouettes, including clogs and premium products during the quarter. Sales from closed-toe silhouettes grew more than double the rate of the overall brand in the quarter and revenue share increased 400 basis points year-over-year. We continue to generate significant momentum and compelling top line performance from our newest style and have excellent new product in the pipeline in each category and region. At the same time, the momentum with our Core Silhouettes remains very strong. Revenue from our top five Core Silhouettes, most of which have been around for close to 50 years was up 24% in the quarter. This highlights the continued commercial relevance of these iconic models in most recognizable styles. Now let's move to our discussion of segment performance. Within our largest segment in the Americas, strong consumer demand for our brand continued in the third quarter. Revenue in the region was up 15%, compared to the same period a year ago. Our B2B channel was especially strong in the quarter. We saw particular strength in department store accounts, which were up over 25%. Many drove meaningful brand exposure with 250 year anniversary statement displays in which they allocated more space to Birkenstock to support the initiatives. They celebrated the rich heritage of the brand and also included expansionary products such as closed store premium executions. Full price realization remained very strong at 95%. This resulted in continued strong replenishment orders and backlog into '25. We carefully managed business to support our relative scarcity model across our wholesale partners and our stock-to-sales ratios remained very healthy. New points of distribution in the Americas accounted for a single-digit percentage of revenue growth. Newly opened doors were focused on specialty retailers in the white space areas we identified including professional, outdoor, and running specialty retailers, where the benefits of our footbed as a recovery is finding strong end use demand. As mentioned earlier, we saw a noticeable shift to in-person shopping during the quarter with increased traffic at our own stores and increased sell-through at our B2B partners. Still, growth in the third quarter in our DTC channel was up in the high single-digits. Our own store retail sales were up over 60%, driven by strong closed-toe and premium product sales. With an owned retail fleet of currently eight stores in the US, we view the 6,600 wholesale doors as a key asset in which we can connect with consumers. The results speak for themselves. Consumers want to shop for Birkenstock and we have the ability to interact with them wherever they are searching for our brand, be it online or in-store. We opened three new owned retail stores in the US during the third quarter, including our newest flagship in Austin. We plan to open additional stores in Boston and Nashville over the coming months. We continue to be selective in our retail expansion, looking for the right market and the ideal location to allow for the 12 month to 18 month payback required. We will continue to leverage the strength of our B2B partners to connect with Birkenstock fans in-person more broadly. In our second largest segment, Europe, we delivered another exceptional quarter with growth of 19% underpinned by continued strong consumer demand across the region. Birkenstock continues to grow double-digits and to take share in a market that remains soft. While we realized strong double-digit growth across the whole region, we saw the best performance in those countries where we recently phased out distributors and replaced them with our own distribution such as France and Benelux. We saw strength in both the DTC and the B2B channels. But similar to the Americas, B2B outpaced the double-digit growth of DTC in the third quarter. Our focus on better alignment with key strategic retail partners led to increased orders and strong sell-through performance from these targeted accounts. As we saw in the Americas, over 90% of the growth in B2B came from within existing doors. Our partners continued to add to their Birkenstock assortment to meet the expanding consumer demand. Birkenstock continues to be one of the top performing brands across the region for our wholesale partners. Similar to the Americas, we saw a move towards more in-store purchasing in the quarter. This is why it is so important that we continue to balance a very strong, stable and profitable B2B business with our DTC business and increase our owned retail fleet. With our engineered distribution, we can easily adapt to any changes in consumer spending patterns to meet market demand. Within Europe, we saw very strong consumer adoption of newer models coming out of Pasewalk factory. The Shinjuku, Mogami, Theda and Reykjavik had strong sell-throughs of up to 90% and were sold out in many sizes and colors. Lastly, I want to congratulate the team on the successful launch of our new line of sneaker footbeds and insoles during Paris Fashion Week on the recent opening of our newest European flagship store in Paris, located in the heart of the historic Marais district. The APMA was again our fastest-growing segment in the third quarter of fiscal 2024, with revenue growth of 41% driven by strong growth in both volume and ASP, growth in the region was largely driven by our DTC channel. We added four new owned retail stores, including three in India and one in Japan, bringing the total in the APMA region to '23. We also saw a healthy increase in B2B in third quarter of fiscal 2024, which was driven by an expansion within our mono-brand partner stores in the addition of 10 newly opened stores. Demand in APMA is broad-based and like other regions has benefited from close-toe silhouettes, including clogs, which more than doubled compared to the same quarter last year. We saw particularly strong growth from our two large markets in the region, Japan and Australia. Greater China, which currently makes up less than 15% of the APMA revenue grew over 25% in the quarter and remains an important expansionary market for Birkenstock. We are still in the early stages of our market rollout there and are starting to see the benefits of our efforts already. We had a very successful opening of our Shanghai pop-up store in April and it generated significant brand awareness and interest. Brand search on WeChat more than tripled in the third quarter and Birkenstock was a top-five brand in our category in the most recent 618 Event on Tmall and JD. l now turn it over to Erik to discuss our financial results in more detail. Thank you.
Erik Massmann: Thanks, Oliver, and good morning, everyone. I'm very pleased to share Birkenstock's performance in the third quarter of fiscal 2024. The health and strength of our brand are again clearly reflected in our third quarter results. Birkenstock has cemented its position as one of the few must-carry brands in the wholesale channel and also our D2C channels. They continue to grow as consumers become more intentional in their purchases. Let's have a look into the detail of third quarter results. Third quarter fiscal 2024 revenue was EUR565 million, growing 19% versus the prior year on a constant-currency basis. We once again generated double-digit growth across all segments and channels, demonstrating the desirability and resilience of our brand. B2B was up 23% in constant currency and our D2C performance was up by 14% versus prior year. Gross profit margin for third quarter fiscal '24 was 59.5%, up 320 basis points sequentially. It was down 220 basis points compared to prior year's gross profit margin. Our ongoing capacity expansion accounted for about 120 basis points of the decline compared to prior year third quarter. The remaining 100 basis points is primarily due to the shift in mix from D2C to B2B compared to a year ago. As we have said in the past, our gross profit margin will vary from quarter-to-quarter based on channel mix as DTC yields a higher gross margin than B2B. Conversely, B2B yields slightly higher EBITDA margin given its lower selling and distribution expense. Adjusted selling and distribution expenditure were EUR149 million, representing 26.4% of revenue in the third quarter, down 220 basis points year-over-year due to the increased B2B penetration, offset partially by our retail store investments. Adjusted general and administration expenses were EUR25 million or 4.5% of revenue up 160 basis points year-over-year primarily due to the incremental public company costs. Third quarter adjusted EBITDA of EUR186 million was the strongest quarterly EBITDA in the company's history and up 15% versus third quarter of fiscal 2023. We came out in Q3 with an adjusted EBITDA margin of 33%. This was down 140 basis points from the prior year, impacted from the same temporary and one-time items we discussed with regard to gross profit margin as well as the additional cost of expanding our retail and D2C presence and incremental public company costs, partially offset by the mix shift to higher B2B revenue. Adjusted net profit of EUR92 million was up 14% and adjusted earnings per share was EUR0.49, up 11% from a year ago. Let's now have a look at our balance sheet as of June 30, 2024. Cash and cash equivalents were EUR404 million as of June 30th, 2024, up from EUR176 million at the end of the second quarter. In the third quarter of fiscal 2024, inventory was EUR619 million or about 36% of last 12 month revenue, down from 40% in the year ago third quarter. We generated EUR281 million in operating cash flow in the quarter, up 19% year-over-year. Total cash flow was EUR229 million in the quarter, up 93% from the same quarter last year due to the growth in operating cash flow, lower capital expenditures and financing costs. As we have said before, we will continue to deleverage using cash generated from operations. Our net leverage was 2.1x as of June 30, 2024. Earlier this month, we completed the paydown of approximately $50 million of loans in conjunction with the overall refinancing and replacement of our credit facilities we announced on May 28th. This week, we notified our lenders of our intent to repay an additional $100 million of our US term loan on September 3rd. We remain committed to reaching a net leverage ratio of 2x by the end of the year and will use free cash flow to reduce debt for the foreseeable future. Capital expenditures totaled EUR15 million in the third quarter, bringing the total amount invested year-to-date to EUR50 million, mainly related to our production capacity expansion and new store openings. As we said during our most recent roadshow, we expect capital expenditures to come in below EUR100 million for the fiscal year. With that I'll hand over back to Oliver.
Oliver Reichert: Thanks, Eric. Let me summarize our discussion. Our exceptional results during the third quarter and first nine months of fiscal 2024 demonstrate our ability to deliver on the promises we made during our IPO and secondary roadshows. We are delivering strong double-digit revenue growth, strong margins and cash generation, and expanding into the white space areas. We are executing on our proven engineered distribution strategy to drive both volume and ASP growth to meet the growing consumer demand for our products, for both classics as well as new emerging products and across all segments and channels. We also have the ability to meet our customers wherever they seek to interact with our brand, be that online or in-store. Our growth continues to significantly outpace our peers in the Americas and Europe. With strong and increasing momentum from our B2B partners and in our DTC footprint. We are entering the next chapter of growth as we tap into our largest white space market, the APMA region. We are increasing brand awareness, educating the consumer on the purpose of the Birkenstock footbed and are taking market share by following our playbook of disciplined, engineered distribution to support ASP. With our growing leadership team in the region, continued investment in digital and retail partnerships, we see a long runway for growth ahead in APMA. We are confirming our fiscal year 2024 guidance for total revenue growth in constant currency of 20% and adjusted EBITDA margin of 30% to 30.5%. We remain fully committed to our medium and long term targets of mid-to-high teens revenue growth, gross profit margin of 60%, and adjusted EBITDA margin of 30%. I would now kindly ask the operator to open our Q&A session.
Operator: Thank you. At this time, we'll be conducting a question-and-answer session. [Operator Instructions] And the first question today is coming from Simeon Siegel from BMO Capital Markets. Simeon, your line is live.
Simeon Siegel: Thanks. Hey, everyone. Listen, I know the stock may not reflect it right now, but congrats on really impressive top line growth online. Really ongoing margin strength and the brand health there. I mean that was very impressive. Oliver, could you speak to how units and like-for-like ASP performed versus your expectations. The revenues show that you're clearly enjoying really strong customer demand and if I'm thinking about it correctly, I think, the overall number may still overshadow some important channel nuance that you were talking about. So revenues basically hit consensus while beating adjusted EBITDA margins. And this was on the strong B2B outperformance. So I'm just wondering, could you help me understand this. I guess, do in-line revenues on higher wholesale mix suggest you're actually outperforming your internal units. And then maybe just reflect on the strong customer demand. You beat the profit margin. So perhaps remind us how you're thinking about both channels health and trajectory. And then just lastly, if I can, maybe for Erik, any color you can share just on comfort for guidance, perhaps both Q4 and beyond. It's tough macro out there, but you're still posting industry leading growth. So curious any puts and takes to keep in mind? Thank you.
Oliver Reichert: Hi, Simeon. Thanks for the question. A good one. You're thinking about it the right way. Our units sold were very strong and like-for-like ASP was up. So, yes, with a higher B2B mix, we hit our revenue growth expectations and importantly saw improved margins as well. Our B2B business is a very profitable business. It has higher EBITDA margins than our D2C business. And importantly, it is very predictable and less risky. Birkenstock has not seen any consumer spending softness or anything like it. We are selling more units at higher ASP and we continue to grow and take share. I think that's really the most important part of the story. And as I said in my prepared comments, we saw some movement to in-person shopping during the quarter. We're happy about this to be honest. Our brand benefits from in-person shopping. The footbed needs to be seen and touched and that's how we create our fans and this is how we create new fans. The good news here, in either channel, we have very strong EBITDA margins. Our brand remains very strong. We have full price realization, over 90% globally. Consumer engagement, we grew online member in the third quarter by over 30%. Our stock-to-sale ratio are the healthiest in the industry. So I think we are really very, very good. And maybe David, you can add some color on this.
David Kahan: Yeah, thanks, Oliver. Simeon, first off, great question and I appreciate it coming from you. [Technical Difficulty]
Operator: Please stand by, ladies and gentlemen, while we get the speaker back. Ladies and gentlemen, please stand by, while we reconnect the speaker line. Once again, please stand by, while we reconnect the speaker line. And the speaker line is reconnected. Please go ahead.
David Kahan: Are we back?
Operator: Back loud and clear. Thank you.
David Kahan: Okay, excellent. Sorry for being disconnected and thank you Oliver. Again, Simeon, great question. I appreciate it coming from you, since you've really been ahead of the curve and really trying to understand the dynamics of the channel mix and especially D2C. The way I look at this is retail is really quite simple. It's always been the right product at the right time in the right place. And in Q3, we did start to see the consumer is choosing the right place being more in a physical environment. The beauty, the magic of engineered distribution is we're able to shift our allocations to best meet the demand wherever the consumer may be seeking to make the purchase. And as Oliver mentioned in his opening, I believe the biggest driver in the quarter was the quality and breadth of our assortment and how it was presented with our major strategic partners. They did a wonderful job of celebrating our brand's 250th Anniversary and sharing the brand in a very, very, very visible and compelling manner. We had explosive growth in year-on-year sell-throughs with all partners ranging from small mom-and-pop stores to the major chains. And I'll also add, we're starting to see an emerging youth consumer. And don't mistake this for a trendy teen thinking. This is quite different. It's an emerging demographic that's really embracing our brand. And while some of the styles have been around for 50 years, it's new to them and they're obviously digitally savvy. But data shows that even if 80% of their purchase decisions have data, at digital facilitation, they're looking to shop largely in physical, multi-brand environments. And remember, the more we win in these environments where the brand is validated, the more it creates this flywheel, where the demand escalates across all categories, all geographies and all channels. It's a virtual footbed flywheel and the lifetime value of every consumer, no matter where they make the initial purchase in any given quarter goes far beyond the mix of how that quarter breaks down DTC or B2B. So that's how we look at it. Also remember, we're at 40% overall digital penetration, which means we show a lot of white space for physical store expansion, which you're going to start to see over the next couple of quarters.
Oliver Reichert: If I may add on your last comment, Simeon, yes, we are very super confident with our guidance for the remainder of the year and seeing all the demand and the very positive sell-through data, it's safe to say we are on the high end of our range.
Simeon Siegel: Great. Thanks a lot, guys. Nice job again and best of luck for the rest of the year.
Oliver Reichert: Thank you.
Operator: Thank you. The next question will be from Laurent Vasilescu from BNP Paribas. Laurent, your line is live.
Laurent Vasilescu: Good morning. Thank you very much for taking my question. Erik, you ended the quarter with over EUR400 million in cash on the balance sheet, generated EUR229 million of free cash flow in the quarter. Leverage is down to 2.1 times, well on your way to 2 times target for year end. How should we think about use of cash in the future, especially with the bulk of your large capital investments in production expansion behind you? And then I have a quick follow-up after that.
Erik Massmann: Thanks, Laurent. Yes, you're right. The majority of large investments have been done and it's behind us in Pasewalk and Arouca and expanding Gorlitz. And so it shows, especially this quarter, it shows our very strong cash flow. We've said we will reduce our leverage. We will be at 2x end of the year, but we will go further down. Obviously, the goal is to have no debt, and as you know, it's related to the transaction in 2021 for us, no need to have debt on the balance sheet. But we did even say earlier this week we notified the banks to pay down another $100 million beginning of September. So this will continue the trend, and still there will be enough cash left over for the relevant investments into the business, which is obviously building out the own shops and further expand into the factories if needed. And the strong cash situation just gives us a lot of optionalities we will look for.
Laurent Vasilescu: Erik, that's very clear and great to hear. And then as a follow-up, Oliver, David, there are obviously a lot of questions about the US consumer. Can you maybe shed light on what you're seeing with your US consumer? How did trends progress in the quarter? And more importantly, any color on quarter-to-date trends? And then going forward, should we expect a double-digit growth in the Americas region for 4Q and then high level for next year if you can share on that?
David Kahan: Yeah, we see increasing consumer demand for the brand. I know that on the macro environment, the consumer is probably challenged, but as we've said for the past year, that just means that consumer purchases are being much more intentional. People are shopping. They're shopping for the products they want, the brands that they want, and the most relevant products like Birkenstock, that we're selling through at full price. We see demand continuing to escalate, like we said, where the ultimate point of transaction is where the consumer purchases that may shift from week-to-week and quarter-to-quarter, that's less important than making sure we have the right product and making sure that we're always maintaining, which we are, the relative scarcity in the market. Our sell-throughs and our metrics in every wholesale partner are a true outlier compared to the overall market.
Laurent Vasilescu: Great to hear. Thank you very much.
Operator: Thank you. And the next question will be from Paul Lejuez from Citi. Paul, your line is live.
Paul Lejuez: Hey, thanks, guys. Curious if maybe you could talk about your sell-through within the B2B business, maybe compare that to how each region performed in terms of what you reported on B2B revenue increases. And then second, would love to hear more about your traffic versus ticket trend within the Americas DTC channel? Thanks.
David Kahan: Yeah, it's a good question. We are a sell-through, not a sell-in company wherever we're selling our product and it's very consistent across the EU and the Americas. So suffice to say, while we don't share proprietary sell-throughs from our retail partners. Our sell-throughs were quite ahead of our actual sell-in percent, which means our stock-to-sales ratios are incredibly healthy. Traffic continues to be strong on our own direct-to-consumer website. Our membership was up 30% plus in the quarter year-on-year. Those members tend to spend 25% more. So we're seeing incredible demand. It's just a matter of where the consumer actually makes that purchase. We can be a little bit less specific and a bit more agnostic to it, mainly because we have an incredible business model where the net profitability by channel is not as much of a concern as it might be for some other peers.
Paul Lejuez: All right. David, just a follow-up on the sell-through. Can you maybe talk about what your order books look like for the spring?
David Kahan: I don't think that we can give guidance on our backlog, but suffice to say, if we're saying that we believe that we have confidence in our guidance, that backlog certainly is what gives us that confidence because of course DTC is a bit more variable. B2B, we have firm order books that are significantly showing incredible positive results. And also it's the breadth of the results. It's the growth in all categories like closed-toe, clogs versus just the sandal order book. And that's across all regions. So we can't give backlog guidance, but suffice to say, confidence in the guidance would tend to say we have a backlog that gives us that confidence.
Paul Lejuez: Got it. Thanks.
Oliver Reichert: Yeah. And Paul just adding here that we're targeting the higher-end of the guidance. So that should give -- this should give you like a pretty good feeling where we are and where do we feel the business is going. So --
Paul Lejuez: Got it. Thank you, guys.
Operator: Thank you. The next question will be from Jay Sole from UBS. Jay, your line is live.
Jay Sole: Great. Thank you so much. Maybe if you can update us a little bit about the factory capacity at this point. Like what percentage of factory capacity are you using? Is it a constraint at all on your ability to deliver the units you want to the marketplace to meet the demand that you feel is appropriate? If you can just kind of review where you are from that standpoint, that would be super helpful? Thank you.
Alexander Hoff: Hey, Jay, it's Alexander. Yeah, where do we stand, actually, with a capacity expansion? We are very pleased of how we have done the expansion so far. We are still ramping stuff. We are adding equipment and machineries and that will last approximately until mid of fiscal year '25. We already commented on our last earnings call, that the faster we grow, the earlier we will see a positive return from that investment. However, again, we will not compromise on engineered distribution on scarcity. So production is something we manage closely and in a very disciplined way and that is not something we will compromise. So, having said that, we won't just ramp-up production for the sake of eliminating the temporary margin impact. I think what we already said for '24, that we can confirm this year, that we still expect to have a full year margin drag of 150 basis points. As said before, this is a transitionary year '24 for us, with the largest impact on margins and we expect a better absorption in '25, especially in the back half of the year when we've installed all machines in Pasewalk and we can also confirm that our current plans are still in place to get a full absorption of that effect in the third quarter of '26. So to sum it up, everything on plan so far and we have green lights from our end.
Jay Sole: Terrific. Thank you so much.
Operator: Thank you. The next question will be from Matthew Boss from JPMorgan. Matthew, your line is live.
Matthew Boss: Great. Thanks. So Oliver, maybe if you put all this together, could you elaborate on current demand trends for the brand globally, across geographies? Maybe so far in the fourth quarter just relative to the mid-teens implied revenue growth forecast for the fourth quarter? And then larger picture, just demand signals that you're seeing from your wholesale partners across categories?
Oliver Reichert: Hi, Matt, thank you for the question. Yes, of course. I mean, we're not allowed to give you any forward-looking statements, but we are aware of our order book for the next year. And as I said, everything looks double-green, maybe triple-green. So it's really we're very, very pleased with the results. It's growing. We still try to fulfill the demand by keeping our scarcity. So it's really, it's a very, very good thing. We had a bit of weather issue in some areas, and we always see the weather issue, especially in the summer, hitting our DTC business from time-to-time. We have a rainy week in June. We will see it simply in our results there. So that's something that could happen every year, every season. But overall, honestly, we're super confident. We are super strong, demand is there, consumers' are happy with the brand. Our activations we had with the 250 years of brand celebrity we had in the celebration we had in the wholesale doors went very, very nice, very smoothly accepted. So that's another reason why a lot of traffic in our wholesale doors, because they pretty, did events and showed up with a very nice presentation in the walls and product was there. So the outlook from our side is super positive for the full year and for next year of course. So I can't see no clouds. All good.
Matthew Boss: Great color. Best of luck.
Operator: Thank you. The next question will be from Micheal Binetti from Evercore. Micheal, your line is live.
Micheal Binetti: Hey guys, thanks for taking our question here. So I had just a couple. First, I guess, on Americas, total market up 15%. So to sum it up, you feel great on wholesale, the stores, I think you gave a large growth rate, maybe 60%. I think you said Oliver. And you mentioned a bunch of times though separately that shopping in-store is a big trend. It seems like the math on maybe why Americas decelerated from one quarter to the next was related to the digital business in the Americas. But I think, David, you said you are pretty happy with the traffic to the website. So I was a little confused on where maybe the slowdown was. Maybe on the digital side, if you could square that for us. And I'd be curious to hear if you guys were actively prioritizing inventory towards the wholesale channel or if there were stock outs on any places in DTC due to the engineered distribution strategy?
David Kahan: Yeah. Part of engineered distribution strategy is you have a playbook, but like an NFL quarterback, you call audibles during the game and you try to figure out where you can best meet the demand yet not oversell the demand. It's just constant, I mean, it's an art and a science and at some points, could you be sold out at wholesale? Yes. Could you be sold out in DTC? Yes. You try to do your best managing it. I don't think there was any, again, the demand, if you look at the total market was exponentially up year-on-year. The truth of the matter is where the actual purchase was consummated shifted to some degree. And if you follow every one of our retail partners, you're seeing the same thing. You're also seeing some of those demographic shifts leading that. So I can't say this strongly enough. We're a little bit more agnostic to the actual endpoint of distribution. If the demand is there, the demand is there. And again somebody purchases our product, it's not a one-time purchase, it's a lifetime consumer. So if that first purchase happens, just happens to happen in a wholesale partner, suffice to say, the lifetime value of that consumer across channels, especially when they become one of our members is quite significant.
Micheal Binetti: Okay. And then just to help us with our models here as we look at the fourth quarter, I want to make sure I heard something you said on the, two questions on the gross really quick. I think you said maybe the implied factory deleverage for the year at about 150 basis points. I think that would imply a pretty meaningful step up in the year-over-year deleverage in the gross margin in the fourth quarter relative to the third quarter if I'm right. And then maybe is it a good rule of thumb to use going forward? You said I think you said that the DTC versus B2B mix in the quarter was about 100 basis point drag to your gross margin in third quarter. Is that about right? Two points of year-over-year mix shift is about 100 basis points of gross margin or 50 basis points per point of mix shift?
Alexander Hoff: Yeah, Michael, on the first question. It's Alexander. Hi. On the first question -- sorry.
Megan Kulick: Yes, go ahead, Alexander. Go ahead.
Alexander Hoff: Okay. Yeah, you're absolutely right that, of course, our gross margin will fluctuate with the DTC, implied DTC mix shift. So that's a simple math. But again, as we said before, that's just the impact on ASP and gross margin, essentially, we have a slightly higher EBITDA margin there. So I think we need to look at the big picture and not only at one KPI here.
Oliver Reichert: I mean, Michael, it's crystal clear, the reflects from the market is always like, oh, DTC is going down. That somehow get a bigger impact on margin. This is just not true with us. We have a very, very healthy B2B business. Our margins are, the EBITDA margin, as I mentioned before in my first answer, they are higher than the DTC margins. So, yes, there's a slight impact in the wholesale, in the gross profit margin, in the margins, in the gross profit margins, yes. But in the end, we do care. And that's the basic idea of engineered distribution. It's about getting the maximum EBITDA per pair. And that's definitely the case, the way how we execute the B2B business. So for us, it's really not that important, where do we reach our customer. It's important to be there and to be there with the right product at the right size. And the more we have a touch point with the customer, wherever we created lifetime connection with this fan and he will be with us. Could be wholesale door, it could be our own online, could be our own retail stores. Just think for a moment if we had a bigger owned retail fleet, this impact or this slight decline of DTC revenues in one territory would be swallowed by owned retail because the owned retails are growing like hell. Our owned retail was up like 60%. I mean this is you know there you see that even within ourselves, we can see what's going on and we are super confident that we will reach the consumer for the future as well, which is really the case brand fees is high, we are there. We have a few thousand wholesale partners out there doing a good job, growing as hell with us. The overall growth rates are very strong and the biggest message is our B2B business model is super, super healthy. So margins are super strong. The EBITDA margin, which is our key topic here is the strongest. So nothing to worry about.
Micheal Binetti: I appreciate it. We're still trying to learn how your model moves with the different lines here. So thanks for hanging with us on some of the details here.
Oliver Reichert: That's your model. It's not our model.
Micheal Binetti: You can send yours over.
Operator: Thank you
Oliver Reichert: I forgot it. It's all in my -- it's not written down.
Operator: Thank you. Your next question is coming from Mark Altschwager from Baird. Mark, your line is live.
Mark Altschwager: Great. Thank you for taking the question. Great to see the ongoing momentum. I guess, first, I was hoping you could provide us some updated thoughts on the pricing actions you're planning for the 2025 products. And then separately, really nice momentum in closed-toe. I was hoping you could give us some more detail on the trends you're seeing in some of the other product adjacencies, including some early reads from the recent EVA clog launch and this athlete recovery positioning. I think that's opening up some opportunities for new distribution. So just any more color on what you're seeing there would be very helpful. Thank you.
Oliver Reichert: Yeah. On the product side, the new product introductions have been really, really encouraging across all categories. So don't lose sight. We're also introducing new sandals. We introduced the one-strap sandal called the Catalina that had very good sell-throughs. The Boston clog is great, but there are other clogs. We introduced the clog called the Lutry that had incredibly strong sell-throughs. In closed-toe, we're continuing to gain momentum and I'm sure you see the exposure out at retail. Yes. On the EVA and PU side, our new health care product, the Birki Air 2.0, which is probably the best product that's ever been developed for a true health care professional, that's getting out in the market and being met with a strong response. And then we take the DNA of that and we interpret it into the Birki Flow, which is a more broader outdoor product, which, yes, we're finding athletes for operate sport use, is finding an incredibly strong response. So every product that we've delivered is expanding our breadth. Remember what we said, over 90% of our growth in revenue is coming from existing doors. So what that means is we're expanding our assortments in those doors. If you see us out at retail anywhere, you're seeing very, very broad assortments growing across all categories. And our growth in leather has been two times the growth rate of our price point like synthetic side. So consumers, despite all the challenges, are trading up with us and the retailers are looking to expand.
Mark Altschwager: Thanks again. Best of luck.
Operator: Thank you. The next question will be from Sharon Zackfia from William Blair. Sharon, your line is live.
Sharon Zackfia: Hi. Thanks for taking the question. I wanted to ask about Europe where you've seen kind of accelerating momentum with the wholesale transformation you've done there. Can you talk about what you're seeing with ASPs as a result, particularly kind of with a more premium-priced product and with closed-toe? And I think you took some pretty decent price increases in Europe as well. Are you seeing any kind of consumer sensitivity to those increases? Thanks.
Oliver Reichert: Hi. Thank you for the question. The truth is we don't see any slowdown in consumer demand. It's really, it's an ongoing very, very huge demand. The price sensitivity is a bit misleading maybe because if you go into the different wholesale doors, you have to see the fact that Birkenstock is now getting wider and deeper within these doors. So the comparability between the different styles and the different executions of the models are really, it's an emotional thing. If you want to buy this pair and it's $5 more than the other execution on the left side, on the right side of it, it simply don't count. And we see that the price increases we were executing in '25 there's no impact. So it's really all good. Consumer demand is high, and it's a very, very strong demand out there. And very important, in all price points, don't only focus on the higher price points. Overall, whenever you come to the brand, you increase for whatever reason, your next buy is more expensive than the last one. It's the same, David mentioned it, in our membership program, in the online, people are coming to us multiple times. And whenever they acquire a new pair, it's a higher price point. So ASP is not only driven by price increases, it's also driven by material executions, channels and, of course, geographies as well. But the good news is we're growing in every single thing. So and that's the biggest benefit you can have and this is like the biggest proof that the demand out there is super, super strong.
Operator: Thank you. The next question will be from Sam Poser from Williams Trading. Sam, your line is live.
Sam Poser: Thank you. I've got a handful. Oliver, I know you guys don't normally talk about this, but can you give us the details on the channel sales by geography, especially in the Americas, and that would include wholesale, in the Americas wholesale, the stores and digital, on how those trended year-over-year? It's just to give everybody clarity. I understand this is, you did this pre-IPO, but haven't done it since. But it would be greatly helpful here just so we can get further understanding of where things stand. And then I have a couple of other follow-ups.
Oliver Reichert: Sam, you know, we can't share this information with you. I mean, we're talking about the third quarter here.
Sam Poser: Correct.
Oliver Reichert: So look at the first two quarters and maybe it's the right time after the full year that we can sit and talk about the overall. But we do not share any of this information here. And to be super honest, Sam, I think it won't help you and it won't give you any insight other than a mix between this and this month and this and this quarter will not -- it will probably distract some of the major learnings and not treat them in the right way. David, do you want to add something here because it's mainly talking about your territory?
David Kahan: Yes. Sam, obviously, this is on your mind. As the person running the region, I tend to be a little bit more agnostic to the channel. I care way more about the product and the consumer demand being met, and I think that changes from quarter-to-quarter. I don't think anything is changing too dramatically. But again, having said that, our business model, as Oliver said, our B2B model is unique. It's not just an outlier. I think there are a few brands on Earth that have a B2B model like us where our go-in margin is our maintained margin. So net-net, at the end of the day, feeding the consumer where they're purchasing and the impact that, that has becomes more important to me than trying to follow a business model because I also know that where that emerging youth consumer is shopping today may not be where they're going to shop in five years. And if they're coming into contact with our brand right now where they want to see us, I'm making sure that the product is there as long as it's being represented in a powerful manner to that consumer and we're always maintaining, as you know, that relative scarcity. So I think the consumer himself or herself is becoming a bit more, a bit less channel-centric and a bit more searching for the brand and searching for the products they want wherever they can come into contact with it.
Sam Poser: Yes. Okay. Well, I have two more things. But I just want to say, I'm not questioning the way you do it. I'm just trying to get color on the quarter more for the investors that might not necessarily understand it as well. That being said, Erik.
Megan Kulick: Sam, we're out of time. We're up against time, but you can get one more, okay? You can get one more, make it good.
Sam Poser: I know. All right. Well, I'm going to have two. What's the percent of scarcity you're currently running? And two, what is the swing between the gross margin and the SG&A by channel? So, for instance, SG&A is X basis points lower in wholesale, but as is SG&A lower and the opposite in direct-to-consumer where the gross margin is higher and the SG&A is higher.
David Kahan: I'll let one of the finance guys answer that. But if you're looking at what percentage of the demand we're filling, I wouldn't put my finger on it, but it's not anywhere close to what people are searching for in the brand. And I'll say demand is not a finite measure. If I say 70%, maybe it's 70%, but there's no way we're coming anywhere near the demand of what people are seeking with the product.
Sam Poser: On SG&A?
Erik Massmann: Yes, just a quick note, Sam. As you can see from our presentation that we gave out a positive EBITDA effect of 30 bps according to our channel mix versus prior year. And we also addressed in our gross margin a 100 bps negative effect. That gives you 130 positive in SG&A, and that should help to make that math.
Operator: Thank you. And the next question will be from Dana Telsey from Telsey Group. Dana, your line is live.
Dana Telsey: Hi. Good morning, everyone. You've mentioned a number of times, all of you, about the increase in physical touch points that consumers are making, where they're making their purchases. As you think about it globally, where did you see the biggest differential that way? On your store opening plan, are there any changes that you're looking at to accelerate this? And what are the learnings from your stores that you're putting into some of the B2B and wholesale that helped to drive that conversion? Thank you.
Oliver Reichert: So globally, Dana, thank you for the question. Globally, it's a bit frightening for us, too. It's everywhere the same thing. Whenever we open up a physical touch point with the brand and we are measuring like the interaction with the guests, the interaction about the footbed, conversation about teaching, it's not about not just, don't forget, we're not a footwear company, we're the footbed company. So we're selling footbeds. So it's really something that, that's the difference. And people love to come to us and see the product and touch it and feel it because quality is just a word. If you see and feel the quality, that's a differentiation from all the rest. And if you have somebody in front of you explaining the benefits of the footbed, talking about the second best solution next to barefoot walking, the impact is dramatically high. And it leads into a higher price point once we create a sale and, of course, we create a fan that comes back with his friends, family, relatives. So the lifetime value of this contact, in our opinion is super high. Honestly, we have a lot of very, very good, talented wholesale partners executing it as good as we do it by ourselves. So in the end of the day, if the business model is comparable, and don't forget, EBITDA margin is higher, we do not prefer to push everybody into our own channels. This is not what we're doing. During the road show, we constantly said we're not seeking to destroy or kill or minimize wholesale. This is not what we're doing. Every single qualitatively driven touch point with the brand is a good one. Whenever we open up a store and we are making sure we're doing it the right way, we are super, super positively surprised about the results all over the world, it could be India, it could be China, it could be Southeast Asia, Vietnam, Thailand, Munich, Paris, wherever. The results are super strong. People are coming in, buying very expensive shoes, coming back and so on. So it's really a very, very vivid combination. And as David said before, in the end, let's say, in 10, 20 years, we don't even probably talk about the difference of a wholesale door or an owned operated door because it's a touch point with the brand. And if the quality of the contact is good, we can harvest it, if not, we have to improve it. But right now, everything is super strong, super good reaction in numbers, ASP growth, everything is in the right direction and the product performs for itself. That's the major thing. 90% plus full price realization a very healthy warehouse situation. It's, yes, for us, it's crystal clear.
Dana Telsey: Thank you.
Operator: Thank you. The next question will be from Louise Singlehurst from Goldman Sachs. Louise, your line is live.
Louise Singlehurst: Hi. Good afternoon, everyone. Thank you for taking my question. I know we're short on time, so I'll keep it brief. You must be delighted with the B2B in the US, particularly that 90% growth coming from existing doors. I just wanted to check and I know you've had a few questions on the channel mix, should we be expecting as we go into the back end, the fourth quarter and, obviously, early '25 for this same kind of shift in mix between B2B and DTC? And then I also wanted to check, did DTC have any impact from product shortages? And should that get easier as the new capacity comes on board? Thank you.
David Kahan: Thanks, Louise. I think, again, the mix of DTC versus B2B is near impossible to call in certainty looking a quarter or a year ahead. I think what we're seeing from a consumer standpoint, shifting to more physical retail is certainly happening. It's happening in Europe, it's happening across the US, and I see that continuing. I think we do our best to try to make sure that if somebody does obviously come to our digital site, that we're not short on product. And we also try to make sure that on our own website, there might be less of a degree of scarcity than there is at the retail side. It's just constantly balancing and monitoring this on a day-to-day basis. But having said that, the consumer shift, and I think you're seeing this in what retailers are reporting also, has been somewhat more physical than digital over the last quarter. And I see that continuing to some degree, although there's no certainty to it. The only certainty is when somebody wants our product, they're searching for it very aggressively. And wherever they can purchase it, they're looking to purchase it. That's the biggest positive impact to everything.
Louise Singlehurst: Thank you.
Operator: Thank you. And the final question today will be from Jim Duffy from Stifel. Jim, your line is live.
Jim Duffy: Thank you. I wanted to talk about product and assortment. Really encouraging to see the uptake of closed-toe styles. As you look into next year, can you talk about SKU count and color proliferation? And I'm curious how you manage that complexity in your B2B channel.
Oliver Reichert: Thank you for the question, Jim. The truth is, we don't see any complexity that's really outstripping our intelligence. It's more like it's a very, very good sign that we're getting wider and deeper in the doors, in the wholesale doors. So if you go to a big wholesale door, you may find us in the sport athletic environment, you may find us in the outdoor environment, you may find us in the high-fashion areas, female or male, kids, wherever, could be in the mall, could be in the like orthopedic environment. So we fit in every single niche. And, yes, we deliver a lot of new products in these new wide category segments, as we promised, prior to the IPO. And as we said in the presentation and in the previous remarks, the growth rates, the sell-throughs are very encouraging. And we will develop this step-by-step, as always, very mindful, globally relevant. And this is what we're doing, this is what we're executing. We deliver best-in-class margins. We deliver best-in-class growth rates and that's what we're doing. So no naughty things, no crazy stuff, just step-by-step.
Jim Duffy: I wasn't accusing you of naughty things. I'm more curious about as you grow the closed-toe.
Oliver Reichert: I feel already accused, Jim. I feel already accused, sorry.
Jim Duffy: I'm more curious, as you grow the closed-toe franchise and you work with specific B2B channel partners, do you have allocation strategies where you're segmenting distribution of certain products with some retailers and not others? Could you just please speak about that a little bit and how that works as the product range expands?
David Kahan: Every single style, every single category is allocated by a retail partner. It doesn't matter if it's a closed-toe shoe, a premium product or an entry-price product, there's nothing where we don't have our finger on, on that, on the dial with how much people can have versus where we think the demand should be met. So absolutely every category. And the more we do that, the more we introduce products that get validated in the right places. If you introduce a new outdoor EVA product, you can have it on your own website. But when it also shows up in the leading outdoor specialty retailers like you might have in your area, it validates the product. We do that across every category.
Oliver Reichert: And it's not necessarily the same allocation for the wholesale partner. It is really allocation door by door because our wholesale partner close to the coastline will get a different allocation than the one closer to the mountains. Sounds weird, but that's what we're doing. It's very precise. It's very detailed and that's what we try to execute globally. And the outcome is very encouraging because that, in detail, this creates this 90% plus full price realization thing. If you deliver EVAs into the mountains, you may find yourself in a big sale momentum one day and you may have a problem with your inventory. So be wise, be smart and just be precise as possible. That's what we are executing.
Jim Duffy: Thank you very much for the insights.
Operator: Thank you. This does conclude today's Q&A session and this also concludes today's conference call. You may disconnect your lines at this time. Have a wonderful day. Thank you for your participation.